Operator: Greetings, and welcome to the Plug Power, Inc. third quarter earnings call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Cathy Yudzevich, Manger of Investor Relations for Plug Power, Inc. Thank you. You may begin.
Cathy Yudzevich: Good morning. Thank you for joining Plug Power to discuss our third quarter 2008 results. Andy Marsh, CEO; and, Gerry Anderson, CFO, will be on this call today. The call will be archived on our Web site at plugpower.com. This conference call will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including, but not limited to expectations regarding revenues and product orders for 2008. These statements are based on current expectations that are subject to certain assumptions, risks, and uncertainties, many of which are difficult to predict or beyond our control, and that may cause our actual results to differ materially from the expectations in our forward-looking statements. These risks include, without limitation, the timing and quantity of orders, shipments and installations for our products, our ability to develop commercially viable energy products, the cost and timing of developing our products, market acceptance of our products, and our ability to lower the cost of our products and demonstrate their reliability, and other risks and uncertainties discussed under item 1A Risk Factors in Plug Power’s annual report on Form 10-K for the fiscal year ended December 31st, 2007 as filed with the SEC on March 17th, 2008, and in the reports we filed from time to time with the SEC. Plug Power does not intend to and undertakes no duty to update any forward-looking statements as a result of new information or future events. At this time, I would like to turn the call over to Andy Marsh.
Andy Marsh: Thank you, Cathy, and welcome to everyone on the call this morning. I am speaking to you today from Mumbai, India. During today’s call, I will discuss the recently passed eight-year extension of the investment tax credit for fuel cell technology and what we believe it means for our business going forward. I will also review our third quarter 2008 operation results, giving an overview of activity for each of our product lines, including a discussion of our performance with respect to our public milestones. Gerry Anderson will then provide an overview of our financial results for the quarter. After which, we will be opening up today’s call to questions. On October 3rd, Congress passed, and President Bush signed into law, an eight-year extension of the investment tax credit for fuel cell technology. A long term extension of the ITC has been a top priority for the industry. And it is expected to help accelerate full scale commercialization of fuel cell technology. Beginning October 3rd, our business customers will be able to take advantage of the 30% credit with a cap at $3,000 per kilowatt, an increase from $1,000 per kilowatt. For Plug Power, the investment tax credit applies to our GenDrive and GenCore product lines, which are currently commercially available. We believe that this will have a positive impact on the sales cycle in the very near future. Because the tax credit has been extended to 2016, our customers have the security and dependability on which to build a long term planning. I would also like to emphasize that this federal tax credit can be used in combination with any state tax credit that maybe available, such as in New York and Florida. Turning to the discussion of our three product lines, our motive power business – power unit continues to see heavy interest from the material handling market. During the third quarter, we received purchase orders for 33 GenDrive power units, primarily from a global customer in food and beverage distribution. Our sales funnel continues to grow. And we believe that we’re currently at the end of the sales cycle with a few key customers, and that we would be announcing more good news on orders prior to the close of the fourth quarter. The revised federal tax credit of $3,000 per kilowatt mentioned previously reduces the net customer pricing by approximately 20% for one of our key commercial products, our GenDrive class 3 power unit, which is widely used to power electric power trucks for high throughput food and retail distribution centers. Some of the key customers and potential customers in this segment are familiar names, Wal-Mart, Kroger, Bakeway, Cisco Food, and Target stores, which operate between 25 to 130 distribution centers in the United States. Our salespeople will continue to focus on these and other high throughput food distribution companies. We are currently working on several new green field opportunities for orders and installations in 2009. Green fields take off for the potential – for the greatest potential benefit to our customers by eliminating the need for customers to make capital investments in battery and the associated chargers, storage, and charging systems. The class 3 unit is currently installed in the field, but performing well in terms of reliability and costs per hour of operation. And we have gained the confidence in new and potential customers in this highly visible market segment. Our class 1 product for sit-down counterbalance rider truck is available for production at our Latham manufacturing facility. We are also in the process of expanding our field to sales capabilities by establishing five retail sales territories, each covered by a sales director who will be working directly with large distribution and manufacturing companies. They will also work closely with lift truck OEM national account personnel to prospect and develop new opportunities. In addition to the interest we received directly from customers, we have received many leads from the lift truck OEMs, whose customers have expressed interest in our fuel cells. There is a constant theme with our prospects. Our products solve the operational problems and associated costs at managing a battery charge and change system. We’ve been recently asked to participate in the Yale National (inaudible) meeting, which is owned by NACEL. On November 17th, they introduced both our class 1 and class 3 products to the Yale principals. This is significant because NACEL is one of the top two manufacturers of class 1 lead trough with deep ties to some very large and well known companies that are contesting fuel cell applications, such John Dy [ph] of Federal Express, and General Motors, and others. We also expect that deep in our distribution and product development relationships with Crown Equipment and Toyota Raymond throughout 2008 – 2009 and beyond. They are the dominant suppliers of class 3 lift trucks with a high throughput distribution market, and have been forthcoming with new sales leads. In January of 2009, we will be participating in the Promat show in Chicago, which is the largest material handling show for the North American market. Based on our experience of previous trade shows, we expect this show will also generate many new sales opportunities for our GenDrive product. Our continuous power division, the research and development of both the low temperature and high temperature GenSys products and technology, continues to meet our expectation. We continue to explore the applicability of our low temperature GenSys to the wireless telecommunication market in India. And obviously, that’s one of the reasons I am in Mumbai today. We believe that India offers a unique market opportunity for remote primary power given the rapid expansion of wireless communication service in their rural communities, coupled with severe power shortages and lagging infrastructure. In August, we completed a field trial in partnership with Tadac Tel Services [ph] and Hindustan Petroleum that was designed to test performance of the GenSys fuel cell and the LPG refueling infrastructure for cell tower applications in rural India. The GenSys system was used as a primary power source for meeting its total power load, consisting of a DTF equipment, air-conditioners, and AC lighting. The system revved for more than 2,100 hours and produced 6.285 megawatt-hours of electricity during the scheduled time period. We are incorporating the learning from the trial into our next generation low cost, high volume system design, and expect to have a commercially available product in 2009. Our latest high temperature pan micro-combined heat and power pre-commercial prototype was the one displayed last month at the fuel cell store in Phoenix. It also generated great interest at the exhibit – at the Innovation Exhibit launched by National Grid at the International of Gas Union Research Conference in Paris, which was attended by all major gas utilities from around the world. As part of an ongoing research and development program jointly by the DOE and EU, we currently have prototype systems installed and under testing in Plug Power’s labs in Latham and Apeldoorn. Our partner, Vaillant, is testing an additional prototype in Germany. We are in the process of establishing a stakeholder group to help guide product development and commercialization activities. Stakeholder members will receive prototype systems for evaluation, to be supplied in sites and guidance in the customer requirements and needs, and help to find our go to market strategies. Three strategic members of the National Gas Industry assigned on us thus far representing markets in North America, Europe and Asia, and the initial stakeholder meeting will take place next month. We continue to see great potential for this product, and believe that our deliberate approach will pay off with the commercial product that truly can save customers’ money and reduce the carbon footprint. The micro-CHP GenSys is expected to penetrate the consumer and the light consumer market with a drop in replacement for residential heating systems that offers high efficiency, lower life cycle cost, and significant decrease in greenhouse gas emissions compared with incumbent technologies. During the third quarter, we continue to make in growth with our GenCore product. A note with the deal with Rittal, one of the world’s leading suppliers for enclosures and housing technology. Under this agreement, Rittal will integrate Plug Power’s GenCore 4 fuel cell technology in their enclosures to create the RiCell 5000. Rittal will manufacture these hydrogen fuel cell units for sales into the chemical production, traffic and tunnel infrastructure, information technology, and telecommunication industries. Rittal has an extensive sales and customer support infrastructure in more than 120 companies. We expect to leverage this relationship to expand our addressable market portfolio. We can’t say for certain when the Rittal relationship will translate into orders. Our expectations at the number of orders could in the hundreds over the next 12 to 24 months. Given the preceding discussion and some of the marketing activities around our three product lines, I’ll now turn to an update on where we stand against our corporate milestone. As stated during the second quarter call, over the second half of 2008, we expect a 150 to 200 GenDrive orders and 50 GenCore orders. We have also (inaudible) our expectations to limit net cash used for operating expenses to $55 million to $60 million for the full year, inclusive of our working capital needs to ramp inventory to meet future sales orders. Our third quarter GenDrive orders total was only 33 units. We reaffirmed our milestone target of 150 and 200 units for the later half of 2008 as we have many other potential deals in our pipeline, and believe that additional significant orders will materialize during the fourth quarter. With respect to GenCore, we received 11 orders during the third quarter. And we remain confident that we will reach 50 orders for the second half of the year. As you know, conserving financial resources is especially important during these difficult financial times. The measures we’ve taken to control operating expenses are already paying off. Our operating cash burn for the third quarter was less than $11 million, inclusive of capital equipment purchases. Year-to-date, we’re at $43.9 million net cash used for operating expenses, including capital equipment. We reaffirmed our guidance to complete the year with an operational cash burn in the $55 million to $60 million range. I’ll now turn the call over to our CFO, Gerry Anderson, to present an overview of Plug Power’s third quarter 2008 financial results. Gerry?
Gerry Anderson: Thank you, Andy, and good morning, everyone. Looking at our third quarter shipment activity, which typically initiates our invoicing to customers, we shipped 38 GenDrive units and 21 GenCore systems, bringing our year-to-date shipment total to 212 units, with the total invoice value of $3.4 million. Andy previously stated our orders for the quarter, 33 GenDrive and 11 GenCore systems, which leaves us with 117 and 39 additional orders needed, respectively, to achieve our stated order milestones for the latter half of 2008. I would like to again emphasize that even with a rather challenging economic environment, we expect to meet or exceed these milestones by year-end. At the end of the third quarter, our backlogs to the 218 total units with an invoiceable value of approximately of $5.2 million. Turning to our statement of operations, total revenue for the third quarter was $4.1 million, of which $1.3 million was derived from products and services, and $2.8 million from research and development contracts. Year-to-date products and services revenue of $3.3 million already exceeds our full year 2007 total of $3.1 million, and is due to both a 38% increase in year-over-year shipped unit volume and a growing installed base that now exceeds 630 total units. Additionally, at September 30th, we had $4.1 million of deferred product revenue on our balance sheet. And we expect to recognize substantially all of these revenue over future periods as the service contracts for these shipments are fulfilled. Our third quarter 10-Q, which will be released later today provides further explanation of our revenue recognition policies as a development stage company. And we encourage you to review that document. At $2.8 million, our quarterly R&D contract revenue was adversely impacted from some slippage of work due to delays in both receipt of materials from vendors and engineering resource availability. While our quarter-over-quarter revenue was down approximately $900,000, we expect our fourth quarter will ramp back up modestly. However, we are now expecting our full year revenue to be roughly equal to our 2007 performance for our R&D contract business. I would also like to point out that during the quarter, the Department of Energy accepted proposals on their new funding opportunity for fuel cell technologies. And Plug Power is participating in 13 proposals, with a total DOE award value of $18 million. Included in this group are nine proposals encompassing approximately 300 GenDrive units that were submitted by Plug Power customers and prospective customers that requested us to participate in their proposals. We expect the DOE to announce awards in early 2009. Our total cost of revenue for the third quarter of 2008 was $5.6 million, and was comprised of $1.8 million for product and service revenue, and $3.8 million for R&D contract revenue. Our product and service cost of sales, which is direct materials for unit shipped plus materials and labor associated with servicing the installed base decreased quarter-over-quarter by 35%, which is consistent with the 36% decrease in shipped units over the same timeframe. Our cost of revenue for R&D contracts, comprised of materials, labor, and overhead, represented 136% of sales for the quarter, and a year-to-date basis, represents 155% of sales, which is consistent with where we expect to be based on the mix of cost sharing arrangements on our current R&D contracts. Research and development expenses, costs incurred for internally funded R&D programs, were $7.7 million for the quarter. This represents a 13% decrease over our last quarter, which is attributable primarily to a reduced run rate associated with the restructuring implemented late in quarter two. Selling, general, and administrative expenses were $4.8 million for the third quarter of 2008, representing a $3.7 million decrease over our previously reported quarter, which included a $3.6 million charge for the restructuring plan announced and implemented in quarter two. Our net loss for the quarter ended September 30th was $13.8 million or $0.16 per share. Included in the net loss was a $789,000 charge for additional write down of our auction rate security portfolio, and a $1.3 million gain relating to the termination of agreements with Technology Partnerships Canada. This transaction is more thoroughly discussed in our 10-Q, which will be available later today. For the quarter, weighted average shares outstanding were $88.2 million. Net cash used for operating activities for the third quarter at $10.8 million was favorably impacted by the realization of cost savings from our restructuring implemented at the end of the previous quarter. Additionally, during the quarter, $133,000 of cash was used for capital expenditures. On September 30th, 2008, the company had $116.3 million in cash, cash equivalent, and available for sale securities, which equals approximately $1.32 for each common share outstanding. We also closed the quarter with $110.7 million in working capital. Year-to-date, the company has consumed $43.9 million in cash for operating purposes, inclusive of capital equipment. As previously noted, we still expect to finish the year with an operational cash burn of $55 million to $60 million, including working capital requirements, to fund our growth from expected order momentum. Included in available for sale securities and working capital at September 30th, 2008 was $57.6 million of auction rate debt securities, which is net of the additional $789,000 write down taken in our third quarter. As noted in previous quarters, the disruption in the financial markets associated with auction rate securities has resulted in reduction liquidity for these types of securities, and recent auctions for such securities have not been successful. Accordingly, the company expects to hold these securities until there’s a successful auction or the company sells them in the open market. Securities still merged to the auction debt securities held by the company are currently trading at a discount on the open market. As has been previously disclosed, in May 2008, the company filed a lawsuit UBS Financial Services, Inc. and UBS AG, the financial advisor that placed the company in certain auction rate securities held in the company’s investment portfolio. The lawsuit seeks a return of the $62.9 million of company funds UBS invested in auction rate securities in contravention to the company’s investment policy, among other damages. The company is carefully monitoring developments related to auction rate securities, including settlement offers being made in connection with various state and federal agency investigations of the auction rate securities market. Plug Power believes that its position in the litigation is very strong, and it will aggressively pursue its litigation. I would now like to turn the call back over to Andy for some concluding remarks before we open the call for questions. Andy?
Andy Marsh: Thank you, Gerry. Throughout the third quarter, Plug Power has been gaining momentum. Our GenDrive sales funnel remains very active, and I expect new and significant orders before the end of the year. Valuators are continuing to look closely at our GenCore product line as evidenced by the new orders booked during the quarter. And we expect our partnership with Rittal to generate sales and revenue in 2009. Our low temp GenSys product is generating great interest in India, potentially a huge market. And our high temperature CHP system is moving to its development stages as planned. On top of it all, our measures to control spending are proving to be successful. I’d like also to take this opportunity to welcome Jeff Drazan to the Board of Directors. Jeff and I previously worked together successfully at the Valere Power, where he was the Chairman of the Board. Jeff is Managing Director of Bertram Capital, a private equity firm, (inaudible) low market company. He was previously a co-founder and Managing Director of Sierra Ventures, a Silicon Valley venture capital firm with $1.5 billion under management. Prior to Sierra, he served in a variety of operations and R&D management positions at both AT&T and Bell laboratories. Jeff is a financially savvy entrepreneur. And I am confident that his experience and deep knowledge technology and manufacturing will prove invaluable as he adds a strong voice to our Board. Now, I’d like to open the call to your questions.
Operator: Thank you. Ladies and gentlemen, at this time, we’ll be conducting the question-and-answer session. (Operator instructions) Our first question comes from the line of Burt Chao with Simmons Co.
Burt Chao – Simmons Co.: Good evening, Andy, and good morning, to Gerry and Cathy. Thanks for taking the questions, just two quick ones on the market in general. Have you seen the recent credit environment to affect the willingness of your customers to contract forward for deliveries? And secondly, just kind of a bigger picture on the bills on the market in general, given the development for the patent over the couple of years and just even quarters, do you see consolidation as being a trend that might be affecting the state of the industry or the direction of the industry in the near or mid terms?
Andy Marsh: Let me talk, Burt, about the delivery situation, or about the potential order situation first. I had certainly, being out with customers, have seen in a number of instances where opportunity in the sales funnel have slowed down because of the credit crunch. But you know, when you’re starting with the company, quite honestly, with such a small revenue base for products, what we’re pursuing is actively building a large sales funnel. And by building that large sales funnel, we do expect some customers to drop out. I saw one auto company, which appears – were that slowing down because of the reduction in buying SUV vehicles from the North American manufacturer. I’ve also seen in the carpet industry some slowdown because of the credit crunch, and really, the whole residential market. But in general, because – when we’re starting – if we were a company that has revenues in the hundreds of millions of dollars, I think the downturn of the economy, where you are having repeatable business and repeatable customers, you would have a greater impact. Now, when you’re selling a product in bad times that offers reduced operating cost on a daily basis, it’s actually an opportunity for many customers that open their eyes and say, “This is a way to make savings.” And often, companies are in cost reduction mode and looking for ways to reduce the cost of their products. And when we look at our GenDrive models and we share with customers that’s almost always the case. Looking at the fuel cell market in terms of consolidation, I think it’s obvious as the market grows and expands that – as the market grows and expands, there will be some consolidation. I have to say, that is really not the focus of Plug Power today. We believe that with our three product lines, we are uniquely positioned in the marketplace. I think, without a doubt, we are the leader in the motive power – in the material handling market. I think that our GenCore product is the most reliable in the industry. Rittal actually told me that they compared our product against another supplier during the selection process, and they found 67 deficiencies with the other supplier, and zero with GenCore. And I believe our GenSys products that – there’s a compelling value proposition. I know here in India when you look at the cost of diesel and the efficiency of diesel generators, our efficiency of our low temperature GenSys product using LPG is a real value proposition to customers today. I hope that answers your question.
Burt Chao – Simmons Co.: Yes. Great. Thank you so much, and congrats in the traction in India.
Andy Marsh: Thank you.
Operator: Our next question comes from the line of Trey Cobb with Stephens Inc.
Trey Cobb – Stephens Inc.: Good morning.
Gerry Anderson: Good morning.
Andy Marsh: Good morning, Trey.
Trey Cobb – Stephens Inc.: Andy, I know on the last call you said you were looking to increase the size of your GenDrive sales team. Can you give us an update there and kind of the benefits you’re seeing currently or see going forward in the near term from doing that?
Andy Marsh: Sure. We have added four individuals to our GenDrive sales team. And we have placed them regionally, across the country. And that most of them have come onboard over the past month. And so, I have to say, Trey, they’re in a bit of a learning mode at the moment. And we’ve been taking them around to key potential customers, allowing them to really work the details of the deals. So if you look at our sales team at the moment, we’re led by Tom Hoing [ph], who was an executive at Crown, a leading forklift truck manufacturer. We have another seasoned individual in Tennessee, Tony Trout [ph], and four additional sales folk we’ve added to the team in the last three months. And when I look at the sales funnel, we have – we have a great deal of opportunities, many customers. And this is really an opportunity that when we look at this market, we believe the servable in our business today is over 100,000 units. And that’s a good deal that it’s getting opportunities to be in front of people and present our value proposition. We think now that we have a sales force, which has the reach to get the customers. And I have expectations for them next year. And I’ll be happy to share that in the next conference call.
Trey Cobb – Stephens Inc.: All right. Great. And then, I think you said you booked 44 units in the quarter, with 34 or around 75% of them coming from GenDrive. Is that how we should be thinking about that going forward, kind of a 75%, 25% breakdown between GenDrive and GenCore?
Andy Marsh: In today’s market, the GenDrive value proposition is very strong. And the customers – the potential customers it serves is rather wide. Now, I think when you look at GenDrive, I think this relationship is 3:1, 4:1, is probably a good relationship to be thinking about, Trey, GenDrive versus GenCore. Now with the – now with the change in administration and now I think still some uncertainties at the Katrina ruling, that ratio could change with the Katrina ruling. I would expect during the next 15 months to look at that kind of 3:1, 4:1 type ratio.
Trey Cobb – Stephens Inc.: Okay. Great. And then, on the operating expense side, they obviously dropped down quite a bit and it appears to be from the restructuring. Is this kind of the run rate level that you see going forward or – ?
Andy Marsh: Gerry, I’ll let you handle that one.
Gerry Anderson: Yes, Trey. And again, I think in our last call, we mentioned that we expect the run rate to be in the low to mid 40s going forward. If you look at our total operating expense, including cost of sales, which was about $18.6 million, and you back out to non-cash items depreciation and amortization of $1.7 million, and a non-cash stock comp, which was $1.7 million, that’ll put you at a gross spend of about $15.2 less our $4 million revenues. That puts you at about $11 million. Obviously, we are continuing to look at other areas in G&A that we can shrink our spend. And the one caveat, I would say is, obviously, with the supply chain, we need to keep driving down our cost of materials so that we get some positive impact in gross margin as we sell more units.
Trey Cobb – Stephens Inc.: Okay. Great, guys. Thanks for taking my call.
Andy Marsh: Welcome.
Gerry Anderson: Sure.
Operator: Our next question comes from the line of Meghan Moreland with Barbara Capital [ph].
Meghan Moreland – Barbara Capital: Good morning. I just have two quick questions. Could you give us a little more color on the product lead times that you have? And how much of the 218 units that are currently in the backlog will be realized by the end of the year? And also, an update on the Smart Hydrogen divestment you had mentioned last month that they want to divest of their 35% holding, where that currently stands. Thank you.
Andy Marsh: Gerry, do you want to handle that?
Gerry Anderson: Sure. In terms of the backlog, 218 units in the backlog, about 124 units are on the GenCore side, which tend to be much longer lead times. Several of those are with the distributor that’s handling some South African market opportunities. On the GenDrive side, the 94 units that we have in backlog there, we are working on right now. Several of those are class 1s. As Andy mentioned, our class 1 5,000-pound product is now in zero production in Latham. So we do have some orders that we do need to meet by the end of the year. And the rest that we would expect in early 2009 to complete those and fulfill those orders. In regards to the Smart Hydrogen situation, there’s been media around Smart Hydrogen selling their 35% stake in Plug to OGK-3. And right now, what has been publicly disclosed is they’ve entered into a share purchase agreement with OGK-3. And there are a number of contingencies that need to be satisfied prior to the closing of the transaction, including Smart Hydrogen’s obtaining required US government approvals and the consent of Plug Power. But currently, Smart Hydrogen remains the 35% shareholder and no transfer has taken place. And the Board of Directors of Plug Power is currently in discussions with Smart Hydrogen about the proposed transfer, and we are carefully considering a request for consent.
Meghan Moreland – Barbara Capital: Okay. Thank you.
Gerry Anderson: Welcome.
Operator: Our next question comes from the line of Jess Osborne with Thomas Weisel Partners.
Jeff Osborne – Thomas Weisel Partners: Hi. Good morning, guys. I was just curious with the tax credit. How should we think about pricing when that takes effect next year? Will you be able to capture that pricing by raising prices or will you pass it all on to the customers?
Andy Marsh: Jeff, I think it’s fair to say that some of that we will be able to capture, and some of that we will be passing on to customers. I think probably a good way to think of that – I would think about it about a 50-50 split. I think what’s really important for the market is that for us to have additional units in the marketplace. And as our products are in customers’ hands and we have more sites that we can take other customers to and increase our references, I believe that our ability to offer – to capture higher prices will improve dramatically.
Jeff Osborne – Thomas Weisel Partners: Makes sense. And then, I want to say then, can you just talk about so far year-to-date or since you’ve arrived, Andy, how much costs you’ve taken out of the product? And this is away from our (inaudible), which is where most of the focus has been, but more on the cost of goods sold, how we should think about, what you’ve done so far, and what to look forward to going forward?
Andy Marsh: You know what, I probably – let me tell you how I’m thinking about it. I have been spending a good deal of time working with our supply chain team. I mean mentally, we’re looking at the higher cost items in the product. If you take, for example, our class 1 product, the top ten components represent 80%, 85% about. When I think about it, I think a company like Plug on a quarterly basis, and I think it’s important for a company like Plug to be thinking in terms of quarters in driving costs down. We’ve been looking at 5% to 7.5% per quarter. And I think if you – when we tally up the scorecards since my arrival, for the third and fourth quarter, we’ll be in that range.
Jeff Osborne – Thomas Weisel Partners: Should we think about that – ?
Andy Marsh: On an annual basis, Jeff, just to kind of annualize it for you, I would be thinking in terms of 25% to 30% for next year.
Jeff Osborne – Thomas Weisel Partners: For next year, okay. Excellent. And then the last question is just on the – you mentioned the five regional territories for sales. Are the bulk of those people new? I’m just trying to get a sense of how – because they say the sales force has been shaken up? Or is it pretty much kind of legacy Plug Power people still intact, and then you’ve added opportunistically in GenDrive? I’m trying to get a sense of that –
Andy Marsh: Gerry will take your question.
Gerry Anderson: Jeff, I have actually added new as well as moved some individuals. I’ve had two individuals doing it for the last ten days who came from the outside. And I had a third individual I attracted back from (inaudible) who once worked with Plug Power. And a fourth one we moved from the GenCore business.
Jeff Osborne – Thomas Weisel Partners: Great. Thanks much.
Operator: Our next question comes from the line of John –
Andy Marsh: What I’d like to add to that too, Jeff, is that the individuals we have in the motor power business for – had been with us. And they’ve been there six or seven years. And they are really – understand the market, understand their customers, understand the industry. And I think that one of the reasons I think we’re uniquely positioned for the future is because of their skills. I’m really pleased with their performance.
Operator: Our next question comes from the line of John Spasidat [ph] with Citi.
John Spasidat – Citi: Good morning, folks. A quick question on the emerging opportunity in India, can you comment on where the units might be manufactured initially? And if you’ve given thoughts on contemplating the use of Plug fuel stacks or a third party similar to some of the industry news that’s occurred over India.
Andy Marsh: John, I think that known – that our – for our low temperature GenSys product, we are using towered stack. Our high temperature product is different. So the opportunity in India will be leveraging towered stacks. From a manufacturing strategy point of view, it really depends upon the size of the opportunity that we capture. Now we have, probably, one of the best manufacturing facilities in this – surveying in this industry, my opinion is Latham, very highly skilled. And certainly, initial production would come from that facility. If the market grows here, certainly, one needs to support the market locally. And I would expect that we would be doing integration here in India.
John Spasidat – Citi: Thank you very much.
Operator: Seeing as there are no further questions, I’d like to turn the call back to Andy Marsh for concluding remarks.
Andy Marsh: I’d like to take this opportunity to advise everyone that Plug Power will present to Stephens Inc. All Investment Conference at New York Palace Hotel in Manhattan on November 18 at 3:30 Eastern. The presentation will be webcast and archived on our Web site. Thank you for your questions today. Again, we appreciate your time and interest in Plug Power. I look forward to speaking with you further in New York and on our next conference call. Thank you, everyone.
Operator: Ladies and gentlemen, this concludes today’s teleconference. Thank you for your participation.